Operator: Good morning, and welcome to the Fourth Quarter 2013 Earnings Release Conference Call for FMC Corp. [Operator Instructions] I would now like to turn the conference over to Ms. Alisha Bellezza, Director, Investor Relations for FMC Corp. Ms. Bellezza, please begin.
Alisha Bellezza: Thank you, Zachary. Good morning, everyone, and welcome to FMC Corp.'s fourth quarter earnings call. With me today are Pierre Brondeau, President, Chief Executive Officer and Chairman, who will review our fourth quarter performance and business segment results; and Paul Graves, Executive Vice President and Chief Financial Officer, who will present select financial results. Pierre will conclude our -- with our 2014 outlook. Following his comments, we'll be joined by Mark Douglas, President, FMC Agricultural Solutions; Ed Flynn, President, FMC Minerals; and Mike Smith, Vice President and Global Business Director, FMC Health and Nutrition, to address your questions. Today's discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including, but not limited to, those factors identified in our release and in filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Today's discussion will focus on adjusted earnings for all income statement and EPS references. A reconciliation and definition of these terms, as well as other non-GAAP financial terms that we may refer to during today's conference call, are provided on our website. Our 2014 outlook statement, which provides guidance for the full year and the first quarter of 2014, can also be found on our website. I will now turn the call over to Pierre.
Pierre R. Brondeau: Thank you, Alisha, and good morning, everyone. You saw in our release last night that we closed 2013 with a strong performance and adjusted EPS finishing above our guidance range at $1.05 per diluted share. Let me begin my comments with highlights of our 2013 full year performance. In the early part of 2013, we evaluated our business strategy and made the decision to realign our portfolio. With this decision, we highlighted 2 growth businesses: Agricultural Solutions and Health and Nutrition, and put 2 advantaged commodity businesses under common management in the Minerals segment. With that realignment, we also began the divestment process for our Peroxygens business, and at the end of the year, we announced that we entered into an agreement to sell that business. We expect to close that transaction within the first quarter of this year. Our external growth efforts continued and resulted in multiple transaction. In particular, we created a new biological platform for ag and acquired Epax, an important platform in Omega-3. We also acquired several additional new technologies that will contribute to ag's growth in future years. Investments in our existing businesses continued in 2013. We began construction of a new MCC facility in town, which will be completed late in 2014. We completed the restructuring of our Lithium operations, and we introduced new Manufacturing Excellence programs in Alkali, Lithium and Health and Nutrition. Along with these investments, we returned to shareholders $360 million in the form of share repurchases and another $74 million in dividends, taking a total cash return to investors, since 2010, to over $1 billion. Full year 2013 total company sales of $3.9 billion were up 14% with adjusted earnings up 12%. Earnings per share grew 15% to $3.88 per diluted share, and return on invested capital was almost 20% for the year. Now turning to fourth quarter performance. Total company sales increased $215 million or 24% to $1.1 billion, a record quarter for us. Regionally, company sales were up 34% in Latin America, 22% in North America, 14% in EMEA and 8% in Asia. In total, emerging markets represented over 63% of sales in the quarter and grew by 27% year-over-year. Compared to the fourth quarter of last year, gross margin of $358 million was up 11%; SG&A and R&D expenses of $167 million were up 8%; adjusted operating profit of $191 million was up 14%; adjusted earnings of $141 million were up 33%; adjusted EPS of $1.05 was up 36%, including an $0.08 benefit from lower taxes that Paul will address in his comments. Now let me turn to segment performance, starting with Agricultural Solutions. Fourth quarter sales were $678 million, an increase of 38% over last year. Segment earnings were $137 million, up 24% over last year. These results contributed to our 10th consecutive year of record EBIT results and another year of industry-leading margins. This record performance was driven mainly by volume increases around the world. The biggest of these increases were seen in Latin America, where we benefited from increased participation in Brazilian soybean applications, new product introductions and from additional cotton acreage planted. Additionally, we saw strong demand for early-season herbicide and insecticide in North America. In Asia, we continued to see growth from direct market access positions, while our EMEA market remained essentially flat. Our ag business continues to deliver sustainable growth at rates above the broader market. We believe that the combination of our innovation capabilities and customer relationships set us apart from competitors and will continue to drive our growth. Now turning to Health and Nutrition. Sales and segment earnings both grew by 13% to $189 million and $40 million, respectively. During our last earnings call, we guided earnings growth to increase in the mid-20s percent range for the fourth quarter. Included in that guidance was the assumption that our Seals Sands facility would start up early in the quarter to become fully operational, and that we would market our first sales of Omega-3 in the quarter. As a reminder, this facility uses new proprietary process technology to produce ultrahigh concentration Omega-3 that will be sold into pharmaceutical markets as an active ingredient in FDA-approved products. The startup of the plant was delayed by approximately 6 weeks, but is now operating as planned. However, the delayed startup meant that commercial sales did not occur during the quarter. We see strong potential for the specific grade of Omega-3 produced at Seals Sands, and we expect that they will increasingly become the standard in pharmaceutical and nutraceutical segment. During the quarter, we also dealt with 2 natural disasters near our Cebu facility in the Philippines and lost approximately 3 weeks of operation. Our Cebu plant is now operating normally. In the food businesses, our close technical collaboration with customers in texture and stability applications continue to drive volume growth, while our focus on differentiated technologies ensured that we continued to gain share in natural colors. In pharmaceutical ingredients, binder and disintegrant demand returned to levels in line with historical patterns. We continue to have the leading market position in this segment, based on our reputation for quality and reliability of supply. Overall, taking into account the startup delay at Seals Sands and natural disaster disruption, we were pleased with the strong performance from Health and Nutrition as it delivered its ninth consecutive year of record-EBIT results. Now let me review Minerals. The Minerals segment had strong operational performance in 2013. However, profitability was adversely impacted by factors largely outside of our control. Segment sales of $263 million increased 3% versus the fourth quarter of 2013, while segment earnings of $36 million were down 18% year-over-year. In Alkali Chemicals, revenues of $192 million were 2% higher than last year, with pricing and volume broadly flat to a year ago. Segment earnings were negatively impacted by completing the move of our longwall operation into a new section of the mine. We continue to see the benefits of Manufacturing Excellence and we are now operating in a section of the mine with more typical geological conditions, and the result, we are now producing at record levels. Our average price per ton was approximately 1% higher than fourth quarter 2012. Export pricing gain were strongest in Asia, with mid-teens percent increases sequentially. Prices realized by FMC in Asia are now up 20% from the start of 2013. We are encouraged by the fact that the fourth quarter was the first period in 2013 in which our average export prices were higher on a year-over-year basis. Although the data is not directly comparable, Chinese government export data also revealed the same trend, with Chinese export prices increasing approximately 10%. We remain optimistic that export prices will continue to increase, but the pace and magnitude remains uncertain. In Lithium, revenues of $71 million increased by 5% over the fourth quarter of 2012. Production rates were consistent with the rates achieved in the third quarter. Compared to the fourth quarter 2012, the benefits of higher operating rates were partially offset by changes in product mix. The fourth quarter was by far the strongest quarter in 2013, and we expect sales and profitability to continue to improve in each successive quarter in 2014. While Paul will address foreign exchange implication in more detail lately -- later, let me briefly comment on the potential impact of the more rapid devaluation of the Argentine peso that we have seen recently. There is no doubt that a faster pace of devaluation should help offset the cost inflation we have seen over the past several years. In general, we believe this devaluation will have a positive impact on the profitability of our Lithium business. In summary, in 2013, Agricultural Solutions and Health and Nutrition delivered strong performance and growth. Our new product introductions and deep customer relationships in ag helped us gain share and take advantage of the market condition. In Health and Nutrition, strong demand drove increased volume for food and pharmaceutical ingredients, and we added an Omega-3 platform with our Epax acquisition. In Minerals, we resolved operational issues and achieved our target expansion in Lithium. We saw the first signs of improved export pricing and delivered increased production volume in soda ash. As we look at where we finished 2013, we believe that we are still aligned with our Vision 2015 objective. Return on capital at almost 20% remains above our mid-teens target. We have already returned over the target of $1 billion to shareholders in the form of dividends and repurchases. Ag has performed incredibly well and is now ahead of the original Vision 2015 plan. Health and Nutrition has demonstrated strong traction and is right on top of its Vision 2015 target. Lithium is turning the corner, and we expect it to more than double earnings in 2014. Alkali plant operations and volume are very strong. Domestic pricing is solid, so export pricing in soda ash is the only outstanding variable. Overall, we are on track with the Vision 2015 plan. I will come back to this in more detail after Paul has discussed the financial highlights. Paul, over to you.
Paul W. Graves: Thanks, Pierre. Today, I'll review some of the financial highlights and will discuss some of our expectations for 2014. I will cover cash flow, the corporate tax rate and the difference between our GAAP and adjusted earnings, and I'll also cover the impact of foreign currency movements on our recent and future earnings. And finally, I'll review our capital deployment and recent financing activity. First of all, let me highlight the key cash flow numbers. Excluding nonoperating expenses, primarily tax and interest, our operating cash flow was approximately $580 million, an increase of $53 million over 2012. Our cash provided by operating activities was $379 million, a decrease of $43 million. This reduction was solely due to increased cash taxes. We utilized the last of our tax losses and tax credit carryforward in the U.S. in 2012 and, therefore, saw an increase in the total cash taxes we have to pay. For comparison, our cash taxes in 2012 were at an effective rate of 8.8% of pretax earnings, compared to 21.5% in 2013. In addition, we were adversely impacted by the timing of certain payments, which will reverse in 2014. We expect that cash tax rates in 2014 will remain at approximately 20% of reported pretax profit. And, clearly, we are not happy with the operating cash flow performance in 2013. Although there's little we can do about taxes in the short term, we believe there is much more that we can do to reduce our working capital. We have programs in place to do precisely that, building on the progress we made this year in managing inventory. After accounting for these actions, we expect our cash provided by operating activities to be closer to $600 million in 2014. To finish taxes, in the fourth quarter our adjusted EPS benefited by $0.08 due to a lower full year adjusted tax rate. This tax benefit arose from complex accounting rules related to the treatment of certain balance sheet items, and we do not expect them to reoccur in 2014. We continue to believe our underlying adjusted tax rate will be between 25% and 26%. One unusual element of our fourth quarter earnings is the larger-than-normal difference between our GAAP net income of $27 million and our adjusted earnings of $141 million. The difference between these is largely a result of the write-down of Peroxygens assets to the final sale value. After tax, this adjustment was $71 million. I'll now take a few minutes to discuss the impact of foreign exchange rate movements on our earnings. FMC operates in multiple geographies and, therefore, is exposed to a large number of foreign currencies, in particular, to the euro, the Brazilian real and the Chinese renminbi. We are largely protected from currency movements because of 2 structural benefits: first, our costs and revenues are largely matched in the same currency wherever possible; and second, much of our revenue and our cost base is U.S. dollar denominated, regardless of where we actually transact business. It is our policy to hedge our remaining exposures as much as possible, although no hedging policy can completely insulate earnings from sudden or extreme movements. Large movements in exchange rates were a feature of the fourth quarter, with currencies as diverse as the Brazilian real, the Indian rupee, the Australian dollar and the Indonesian rupia all seeing large swings. The 2013 unhedged currency movements reduced our after-tax earnings by approximately $13 million or $0.09 per diluted share, the majority of which related to the Brazilian real. Relative to the size of our business in Brazil, our net real exposure remains relatively small. We will continue to protect our exposures with appropriate hedges wherever practical. Excluded from this currency impact is a further $4 million to $5 million negative impact in 2013 from the slow rate of depreciation of the Argentine peso relative to the rate of inflation in that country. This is a currency that we are unable to hedge in the financial markets. As Pierre mentioned, in January, we saw a significant increase in the pace of the devaluation of the Argentine peso. With a largely U.S. dollar revenue stream and a peso cost base, such devaluation helps to offset local inflation and is therefore a potential benefit to our reported earnings in Lithium. However, there will be some offsetting impact of the resulting revaluation of certain peso-denominated receivables. Our Agricultural Solutions business in Argentina is largely U.S. dollar denominated in terms of both revenues and cost, and a direct exposure to devaluation is only on the revaluation of peso-denominated receivables, which are relatively small. However, this currency adjustment should also benefit Argentine farmers whose crops are priced in U.S. dollars but whose cost structures are mostly peso-denominated. Therefore, at the margin, we would expect a faster pace of devaluation to be helpful to our ag business there. As a caveat to all of these comments, I would reiterate that Argentina remains a complex business environment and the economic situation there is fluid. We therefore remain very cautious about projecting any additional benefits from peso movements within our full-year guidance. Now let me review capital deployed in 2013. Total capital additions, including spend in our toll network included in our other investing activities line, was approximately $272 million. This compares to a total of $228 million in 2012. We continue to see opportunities to reinvest in our businesses and expect that our total spending in 2014 will increase to approximately $320 million. For the full year, we invested a total of $450 million in external growth transactions, the majority of which was the $340 million acquisition of Epax and the $80 million purchase of the minority stake in FMC Wyoming from Nippon Sheet Glass. We announced in December that we entered into an agreement with one equity partner to sell our Peroxygens business. We expect to close this transaction in the first quarter with limited tax leakage from the sale. We intend to use the proceeds to pay down short-term borrowings. On the financing front, we issued a $400 million 10-year note in November, the proceeds of which were used to pay down short-term borrowings. In 2014, we expect dividends to increase in line with earnings growth. With that, I will turn the call back to Pierre.
Pierre R. Brondeau: Thank you, Paul. Now let me describe our outlook for 2014. For the full year, we expect adjusted earnings to be between $4.35 and $4.55 per diluted share, a 15% increase over 2013 at the midpoint of the range. Let me describe some of the assumptions we have included in our outlook. Beginning with Agricultural Solutions. We expect new product introductions and our deep customer relationship to continue to drive global volume growth. In Latin America, we expect further acreage additions, market access expansion, continued market share gains, particularly in soybean, and continued strength in other key crops to deliver sales growth in the region. In North America, rising demand for resistance management product and favorable market conditions will again be a large contributor to earnings growth. We expect EMEA to remain stable with limited growth and Asian sales to increase as we launch new FMC products into that region this year. Altogether, we are projecting another year of strong revenues and segment earnings growth, both increasing mid-teens percent compared to 2013. In Health and Nutrition, we expect growth in 2014 from food and pharmaceutical ingredients, driven by our texturant, binders and natural colors product line, principally in emerging markets. We continue to see increasing demands for healthy convenient food that require our products in order to achieve specific texture and stability, and we continue to make progress in natural colors. In pharmaceutical ingredients, we expect increased demand for naturally derived binders and encapsulation solutions. And, of course, we are confident that our Omega-3 product line will add momentum to the segment's growth, with strong sales into the pharmaceutical sector and with steadily increasing penetration into the nutraceutical market. As a result, we forecast Health and Nutrition segment revenues to increase mid- to high-teens percent and segment earnings to be up mid-teens percent over 2013. Moving now on to Minerals. We expect segment revenues to increase mid to high single-digit percent and earnings to increase high-teens percent in 2014. We expect Alkali Chemicals to operate at record-product level in 2014 aided by better geological conditions and supported by Manufacturing Excellence program already underway. We remain optimistic that the soda ash pricing environment is improving, but our 2014 outlook only includes price increases that are currently specified in existing short- and long-term contracts. We continue to be supportive of ANSAC's efforts to realize additional price gains in export markets. For domestic markets, we expect a low single-digit dollar per ton increase for 2014. In export markets, we believe that market conditions point toward upward momentum in prices this year. However, our outlook does not attempt to quantify the timing or magnitude of this future movement. Again, we believe ANSAC will continue to push for additional price increases throughout the year. We remain confident that our Lithium business is poised to return to mid-teens profitability in 2014. We expect that stable pricing, consistent plant operations and increased volumes will enhance profitability. Let me now shift to our first quarter expectations. We expect to deliver adjusted earnings of $1.20 to $1.30 per diluted share, a 16% increase versus the first quarter of 2013 at the midpoint of the range. Agricultural Solutions earning will be up in the low-teens percent, reflecting a solid finish in Latin American markets and strong demand in North America. In Health and Nutrition, we expect Omega-3 sales, including the initial sale from our Seals Sands facility, will complement food and pharmaceutical ingredient growth and lead to mid-teens percent increase in quarterly earnings over last year. In Minerals, our outlook includes improvement in Lithium margin and contractual price increase in soda ash. This combination, along with incremental volume in both businesses, is expected to increase segment earning by low- to mid-teens percent compared to the first quarter 2013. In summary, as we look at 2014, we are confident in our ability to deliver growth in Agricultural Solutions and Health and Nutrition. We are very pleased with Lithium performance, and we anticipate considerable improvement in its profitability. We remain optimistic that the export soda ash markets are firming up, but we are not including any pricing improvement that move current contract condition in our outlook. Our Manufacturing Excellence efforts across the company continue to yield additional volume contribution and cost saving. Let me now finish with an update on Vision 2015. As a reminder, Vision 2015 consists of multiple targets. 3 of our 5 targets relate to the income statement, which I will come back to in a moment. The other 2 relate to financial discipline, in particular, return on invested capital and commitments to return cash to shareholders. In addition, we have non-financial objectives such as our commitment to manage our portfolio to increase predictability. So far, we have returned over $1 billion to shareholders, meeting this objective 2 years ahead of schedule, but we do not intend to stop. We have made commitments to you regarding annual dividend increases and share repurchases, which we intend to meet. Return on invested capital of almost 20% in 2013 is ahead of our minimum target, despite the cyclical trough in our Alkali business. But there is more we can do. We have made significant progress in managing our inventory even as our ag and Health and Nutrition businesses grew revenue by double-digit each year. In 2014, we will aggressively address other key elements of working capital in order to enhance our cash generation and reduce our capital invested in the businesses. We have divested Peroxygens and exceeded phosphates per carbonate and silicates businesses. We have made multiple acquisition in Health and Nutrition. Technology investments have continued to be our focus in ag. With these actions, we are delivering on our commitment to increase earnings predictability. Finally, let me turn to the income statement. Our initial commitments were $5 billion in revenues, $1.2 billion in EBIT and $5.75 to $6.25 of EPS. In that context, ag is ahead of its target. Health and Nutrition is exactly where we're expected to be. And Lithium is returning to the performance that we expected. Our Alkali operations are projected in 2014 to produce record volumes. The revenue and EBIT we have divested will be replaced over time with the benefit of acquisitions and investments we have made to date. Many of you highly focused on our EPS commitments as we do. Six months ago, we've provided you with a high-level bridge as to how we will get to that target in 2015. Let me update that bridge for you. In 2015, we expect our ag, Health and Nutrition and Lithium businesses to increase their earnings by 15% to 20% over 2014. We expect domestic pricing trend in Alkali in 2015 to be similar to those in 2014. Once again, Alkali export pricing remains the most difficult variable to forecast. However, if we assume that export pricing increases between $20 and $40 per ton, bringing it back in line with historical ranges, and we execute on our commitment regarding share repurchases, we would expect our 2015 EPS to be 575 -- sorry, $5.75 to $6 per share. We remain confident that we will deliver on each of these key elements of the Vision 2015 plan. This confidence extends to our belief that an increase in soda ash export prices back to historical level will take place. We continue to see strong indication that the export pricing environment is firming up. However, our currently forecasting the timing of the increase in the next 8 quarters is limited. To conclude, our confidence in achieving these targets set out in the Vision 2015 remains strong. Now I will turn over the call to the operator for questions.
Operator: [Operator Instructions] And your first question comes from the line of John McNulty with Crédit Suisse.
John P. McNulty - Crédit Suisse AG, Research Division: A question on the ag business. I mean, you certainly saw a huge amount of strength in the fourth quarter. And yet your first quarter outlook seems -- especially relative to your full year outlook, seems a little bit light. So was there much of a pull forward into 4Q? How should we be thinking about that? And maybe if you can give a little bit of detail as to some of the drivers in terms of where you're thinking -- what's going to drive the 2014 strength going forward.
Pierre R. Brondeau: The way we always look at quarterly sales -- and there was no special tool. I think we've been taking sales as they were coming. We don't believe our customers were pulling early in the season. It is always when you get into this first quarter, you're in a transition from back end of Latin America to early season in North America, and how sales will breakdown between Q1 and Q2 is always highly hypothetical. So, overall, I think we like to focus over the annual number for the agricultural sales, but there is nothing specific in what we look at. Mark, do you want to add something to give more color?
Mark A. Douglas: Yes. The -- what I would add to that, Pierre, is -- and John, Latin America was very, very strong for us, Brazil, in particular. Although I have to say Argentina was growing nicely, so was Mexico and another parts of the Andean Region. But overall, we had greater market penetration in Brazil than we expected in soy, both with insecticides and fungicides. And also, our market access through co-ops and distribution is starting to climb as we've invested more in that area. So yes, Q4 was exceptionally strong growth at 38%, but most of it was driven by Latin America.
Pierre R. Brondeau: And one last little comment, when you look at year-on-year comparison, John, Q1-to-Q1, remember, last year Q1 was especially strong quarter in North America. So we are comparing it to tough year-over-year comparison.
John P. McNulty - Crédit Suisse AG, Research Division: Great. That's very helpful. And then just one follow-up on the -- with regard to your LatAm exposure. In terms of what you're actually -- or your guidance and how that kind of -- or, I guess, what on the FX side is incorporated there? Are you just marking it right now to the current market? Or are you assuming something different than that?
Paul W. Graves: No, we're marking it to the current market. We don't speculate on what rates are. We very much use market rates for forward curves when we set out our forecasts.
Operator: And your next question will come from the line of Kevin McCarthy with Bank of America Merrill Lynch.
Christopher Perrella - BofA Merrill Lynch, Research Division: It's Chris Perrella on for Kevin. Could you clarify some of your guidance around your soda ash price outlook? So if I just sort of annualize where soda ash prices in Asia are now, and that's a pretty hefty year-over-year climb in the first half of the year considering a weak market. And what portion, I guess, is your volumes are not under contract at this point?
Pierre R. Brondeau: So if you look at our pricing, let me give you the pricing as we look at it for 2014 in term of domestic and in term of export pricing. That will give you a better color. So we are looking, today, average pricing '14 versus '13, we believe the price is going to be modestly up by a couple dollars per ton for the domestic pricing. Today, what we have in current contract for export pricing is in the mid-single-digit dollars, average price 2013 to average price 2014. So if you bring those 2 together, we are looking at pricing, we're expecting pricing, to go up only by a few dollars per ton, which is what we have in the contract. Now contracts are usually short term in Asia, 3 months contract; midterm to a year in Latin America, 6 months to a year; and 1 year in North America. So we are very conservative. Let me give you another element in term of pricing, to get a sense for the way we are looking at it in the guidance. And our biggest question, as we say and repeating ourselves, we believe pricing will strengthen in the next 8 quarters. We've been disappointed over the last 2 quarters, in Q3 and Q4, by the speed at which it was happening. So the magnitude is less a question than the speed. So what we are saying is we are just saying that, essentially, pricing will barely move right now from Q1 to Q4. But if you look at last year, when -- which was a year without very rapid growth, the price was evolving. In 2013, price was up almost 20% between the realized price in Q1 and the realized price in Q4. We are not forecasting that just because we don't have enough visibility, but I'll give you an example of what happened last year and the way we are -- the numbers we are putting in the outlook right now.
Christopher Perrella - BofA Merrill Lynch, Research Division: Okay. And a quick question on CapEx. With next year's guidance of about $320 million, is that a good number to think about for '15 and '16 as well? I think $350 million is the number I've recalled from the past for run rate CapEx for the next few years.
Pierre R. Brondeau: That is correct. We would believe $300 million to $350 million is what we can see for the next few years.
Operator: And your next question comes from the line of Laurence Alexander with Jefferies.
Robert Walker - Jefferies LLC, Research Division: This is Rob Walker on for Laurence. Just curious on your ag guidance for 2014, is there any potential negative impact built in from weather, specifically potential for later plantings and reduced insect pressure?
Pierre R. Brondeau: No. Usually, we always look ag as normal season. And as always, ag, you could be up or down because of weather. But usually, what is happening is there is not great weather all over the world or bad weather all over the world. And because we are very global, it usually balances out. So we are not taking any safety by planning bad weather nor have we included specifically good weather for -- pretty much a normal year. And as you've seen the forecasting we have of the mid-teens EBIT increases is a pretty normal number for us. We've been operating at, say, between 13% and 20% earnings growth year-on-year for the last 5 to 10 years.
Robert Walker - Jefferies LLC, Research Division: And just the emerging market trends, have you seen any impact from the FX volatility on either farmer order patterns or demand trends for biopolymers?
Michael P. Smith: No. We haven't seen any impact on that. Our volume and demand growth continues to be fairly typical of what we've experienced the last few years. And we project that to continue into next year.
Operator: And your next question comes from the line of Frank Mitsch from Wells Fargo Securities.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: I was wondering if you could just talk about kind of the one-time type of impacts that you had in 2013 with respect to the longwall moves and the natural disasters impact in Q4. How would you size those? And are you anticipating some longwall moves in 2014?
Pierre R. Brondeau: Yes. Usually, we move the longwall every 14 months -- 13, 14 months. So most of the time, it falls in the same quarter and sometimes it goes in the following quarter, which was the case this year. The cost of a longwall move is usually a negative, around $4 million. That's what it cost. In the quarter, the cost is in the quarter when we make the move -- we do the move, Frank.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: And the natural disasters in the Philippines impact?
Pierre R. Brondeau: We've not gone into the detail and it's sometimes been pretty hard to quantify. I mean, you can look at the added costs at the plant itself, which is sub-$1 million, but then there is the implication to the fact that this plant is feeding products into other plants we have elsewhere where we're making blends. So that's where the ramification -- disruption of the supply chain was bigger for us.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: All right, great. And you did talk about replacing some of the lost revenues and earnings in the divestitures with some M&A. I would imagine that on the sale of Peroxygens, it seemed to be more of a buyer’s market on that particular sale. How are you looking at the current environment in M&A and the likelihood that we get something done here in 2014?
Pierre R. Brondeau: That's a good question, Frank. Actually, it's going to help me clarify some of the statement I've made before around Vision 2015. I think -- a couple of things. Six months ago, when we gave the $5.25 to $6.25 number for Vision 2015, we had growth rates which were a little bit more aggressive on pricing and faster mostly on pricing for Alkali. And we were expecting maybe a bit more M&A than what we have today in the forecast. It is one of the critical reasons for which we are in the 6 to -- in the $5.75 to $6, as I said before. Three business growing at 15% plus some assumption around alkali pricing from $20 to $40 plus share repurchase get us to this $5.75 to $6. At this stage, we do not believe we want to go too much beyond where we are for the next 12, 18 months around M&A for different reasons. I think we want to be very sure of the quality of the product, and there is some properties which will come for sale. We know it. Some could be pretty large, but not in the near future. So most of all, we want to digest everything we have done so for. I think we are very highly focused on completing integration and growth of the natural colors, and we have a lot of capital investment to be made there. And frankly, we don't believe the business has not earned the right to do another acquisition in Health and Nutrition until they have proven to being able to fully deliver on impact. So I would say -- I would be on merger and acquisition very prudent for the next 12 months to 18 months. And that's why you see the high end of our 2015 number a bit shorter than it was 6 months ago. In ag, we are very active. That's a different story. We are buying new molecule and new product just to keep on feeding our growth and our innovation engine. I don't know -- Mark, give me a number of either negotiation or discussion we have today, roughly, for new product or -- mid-single-digit, 5, 6, 7?
Mark A. Douglas: Yes, probably a little bit more than that. There is a number of discussions going on. Plus, I would add the fact that we -- with Christian Hansen and our alliance partner for biologicals, we have a lot of investment there that doesn't show up as M&A but is bringing new technology to market.
Pierre R. Brondeau: So to summarize the answer to your question is we're going to take a break on M&A for the next 12 months until Mike and his team have demonstrated there what they can do with the acquisition of natural colors and finish the integration of Epax. And we're going to remain very active on the ag front but with acquisition which will impact beyond 2016, '17, much more than the 2015 numbers.
Operator: And your next question comes from the line of Mike Sison with KeyBanc.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: In terms of ag, could you help us maybe aggregate some of the growth drivers that you talked about, new products, how much of that is baked in? And then acreage growth in Latin America has been a great big driver. How much of the growth that you see in '14 is, for what it's worth, somewhat within your control?
Pierre R. Brondeau: I'm going to let the world ag expert answer that question.
Mark A. Douglas: Thanks, Pierre. Mike, most of the growth, as you know, comes from what we call organic growth, which is moving into the new crops or expanding into crops. We focused in Latin America or in Brazil, and we talked about the soy area where we're expanding our fungicide activities, as well as insecticide. We're seeing growth in soy with herbicides in Argentina. In North America, our full suite of resistance products, whether they be post-emergent selective herbicides or products for corn rootworm, they're all growing nicely. In Asia, it's more geographic growth as we expand Indonesia, India, Thailand, China. So it's a large agglomeration of market growth and geographic growth. And then on top of that, we're bringing the new products to market. We've said in the past that we have a 2015 target of something like 30-plus percent of our revenue will be from products introduced over the last 5 years. We're currently in the 25% to 27% range for 2014, so that pipeline continues to deliver the short-term growth that we need. But as Pierre was just alluding to, we've got a lot in the pipeline that comes towards the end of the decade. And over this year, I'll be opening up a little bit more about what's in that pipeline so we can give you a flavor for how that longer-term innovation is paying off.
Pierre R. Brondeau: And one thing we're going to do -- I just want to build on what Mark just finished. I think we've been demonstrating, and I think you guys would agree because we are challenged less and less on that, and we have a very viable business model which is scalable. What is going to be our intent this year is to have much more of a focus on the technology driver for our growth. I can tell you that I am personally extremely excited by the portfolio short, mid and long term, which has been built for chemicals and, hopefully, very soon, for biologicals. So we're going to start to think about how to bring clarity to the quality of our innovation because it's been driving our performance in addition to our customer relation. And if anything, I think we're going to get stronger in the next 7, 8 years.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay. And then just out of curiosity, Pierre. Back in December, it seems like you guys are more optimistic in there in terms of the EPS growth potential, you sort of talk about a dollar's worth of improvement in '14 versus '13. You've talked about some headwinds here. Are you just being a little bit more conservative here? Or is there anything else that sort of caused you to be a little bit more conservative with the outlook as you started the year versus where you were just in December?
Pierre R. Brondeau: Yes. I think I'm more optimistic than ever on Health and Nutrition, on Ag and Lithium. Lithium is going to have a big year. So I'm very comfortable. I'm quite, quite -- very comfortable, actually, on our operations for soda ash and our domestic pricing. I have to say that I was expecting to see in the fourth quarter, maybe at the end of the third quarter also, a more aggressive ramp-up of pricing. The supply/demand is balancing. You can see price increase in China. There is multiple signals, which are pointing toward price increase. The realization of those price increase is slower than what we are expecting. So I have to say we're a little bit surprised by the speed and that's why what we're saying is we are cautious around export pricing. That's the only place where I'm more cautious than I was in December. So what we decided to do, rather than betting on something without a strong logic, which we thought we had before and we've been proven to be wrong, is to tell you guys we are only putting in the numbers for 2014 what we have currently in the contract. Any further price increase will come as an upside, and we will be updating you very closely on how the pricing is evolving in the quarters to come. We keep on pushing pricing. There is some proof of success, but we're going to more report how we do rather than speculate on where it's going. So that's the only places, when we talked last, Mike, in December, where I'm being a bit more cautious. The rest, I'm even more bullish than I was a couple of months ago.
Operator: And your next question will come from the line of Mike Harrison from First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Can you give us any sense as to how much of the ag growth that we saw this quarter is being driven by products that you've acquired or licensed in the last year? Obviously, it's not really acquisition versus organic growth because I know you [ph] leverage new products organically. But can you give us any sense of how much contribution there is from new products of the strong growth you saw this quarter?
Mark A. Douglas: Yes, Mike. It is difficult to sort of segment where the growth is coming from in terms of acquired versus organic. But just to give you a flavor for it, our fungicide business is growing rapidly and most of that business comes from the products we've acquired over the last few years. So when I look at the overall portfolio, we've stated a number of times that we want to grow our fungicide activities. We're indeed doing that. The growth rates are high, the base is low but it's all coming from the acquired products that we've taken over the last few years. You'll see that change as we look at herbicides in more detail and we look at insecticides in more detail. Over the next 5 to 10 years, I would expect products that we're acquiring today that come to market to be the vanguard of where our growth comes from. But right now, it's primarily focused in the fungicide area.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And then, Mark, can you remind us of the timing of reintroducing bifenthrin in Europe and how much potential benefit that could be over time?
Mark A. Douglas: Yes, Mike. We've not actually disclosed the benefit totally. It's impactful to our European business, but we would expect to see our first sales of bifenthrin back into the European market in the 2015 season.
Pierre R. Brondeau: I'll remind you a number we've said in the past because, as Mark said, we do not disclose that. All we've said it's double-digit million dollars, and that's the number we've been saying, knowing that it's the -- it's on the low end of that scale.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Right. And if I can just sneak one more in. You mentioned that soda ash production is running at record levels now. How much higher is that, roughly, versus kind of the prior level before you had the expansion?
Unknown Executive: Mike, we -- I think we said publicly that we'd have a 5% to 10% increase in output in the 2013 to 2015 timeframe. When you look back at 2013 versus 2012, we increased output by 3%, and what we're projecting in 2014 versus 2013 is another 3%. So we've gotten 6% sequentially, so far, so we're right in the range.
Operator: And your next question comes from the line of Peter Butler with Glen Hill Investments.
Peter Butler: Pierre, it sounds like FMC has been substantially benefiting from better manufacturing practices. Who's responsible for this new effort? And how much progress are you making and how much potential remains?
Pierre R. Brondeau: Good question, Peter. The guy who is behind that is Barry Crawford, our VP of Operations, who is bringing a program of manufacturing excellence across the company. I think a very high focus has been made on our Lithium and our Alkali business. I do believe that Barry, together with Mike Smith, are starting to bring a great attention to our Health and Nutrition plan. So if I would expect further increase in capacity and reliability and lower cost today would be in -- the next wave of work will be toward the Health and Nutrition business, which -- it should show in the results.
Peter Butler: Okay. Could you summarize the arguments of the more optimistic people in FMC on soda ash pricing? I recognize that you've been very -- you're being conservative and as you should. But what arguments are the optimists giving you that -- on pricing in the next 2 years?
Pierre R. Brondeau: See, I think the optimists in the organization -- but I don't think there is optimists and pessimists in the organization, we try to be factual. So what we are saying and thinking is today you take a price, an average export pricing, in the $110, $120 per ton, that's your average export pricing. And you take a domestic pricing, which is in the $150 to $160 per ton. As soon as there is balance of supply/demand, there is no reason in the global market, and especially with the high cost of the synthetic process in Europe and Asia, to have such a differential in pricing between the different regions. So the simple math -- and if you look back at 2012, those 2 curves in pricing were exactly on top of each other. So if you look at the differential and if you assume, looking at the tight supply/demand situation, that the only way those prices are going to merge together is by seeing the export price coming on top of the domestic price, you have a $40-plus per ton of upside. For us, it's close to $80 million in EBIT. The question is how fast will that happen? It's something we have a hard time answering.
Operator: And your next question comes from the line of Rosemarie Morbelli from Gabelli & Company.
Rosemarie J. Morbelli - G. Research, Inc.: Following up on Peter's question regarding prices -- pricing for soda ash, is there any particular reason, Pierre, why domestic prices would decline? What would cause that to happen?
Pierre R. Brondeau: No, no. Today, we are in a situation where the way the business is supplying into North America where we have a very balanced supply/demand and the pricing is very much in line with our customers' expectation. Prices are very stable in North America. Customers like stability. We like stability. So you don't have the ups and downs you could see and the risks going forward. So it's a very stable environment with a couple dollars-per-ton increase year after year. And I think everybody is quite happy with this stable situation's predictability. So there is not a significant pressure on those prices.
Rosemarie J. Morbelli - G. Research, Inc.: Okay. And if I could ask a question on Lithium. What have you seen the industry growth for Lithium in 2013, still in the 10% or so? And what are you expecting in '14 and '15?
Pierre R. Brondeau: I think we are still of the school of saying high single digit for the industries currently and maybe until 2015, when you would really start to see electric vehicles taking off. And that's when you can expect the growth to go more into 12%. But until you see a significant growth in the automotive industry for electric vehicles, you will stay in the high single digits.
Rosemarie J. Morbelli - G. Research, Inc.: And the potential for price increases in this environment in 2014 and '15?
Pierre R. Brondeau: Not a lot. I think it's also a fairly stable price. We don't have a lot of downward pressure, but we don't have a lot of room for price increase. I think the price is more driven by the type of application, the purity of the product, than it is by the supply/demand situation. So we see the situation supply/demand balance at a level where we should have pricing stability.
Operator: And your next question comes from the line of Michael Cox with Piper Jaffray.
Amanda Durow - Piper Jaffray Companies, Research Division: This is Amanda Durow on for Michael Cox. Could you provide some thoughts on South America growth in the second half of 2014? Should we see lower soy prices result in slower acreage growth or flat acreage?
Mark A. Douglas: This is Mark. No, I don't think you are going to see that. Our expectation is that we'd continue to see an expansion in the soy acreage down in Latin America, especially Brazil. But also, you'll probably see the same thing out of Argentina. So you've got to remember that -- I know prices have come off their peaks, but they're still well above historical averages. So growers down in Latin America are more than prepared to plant extra acres of soybean, and they're extremely competitive on the world market.
Amanda Durow - Piper Jaffray Companies, Research Division: And can you address the pricing power for crop chemicals in today's current environment? You kind of alluded to it somewhat. And then what is the current state of the distribution channel from an inventory and prepaid discount standpoint in North America?
Mark A. Douglas: Well, let me take the pricing piece first. Most of our growth, the vast majority of it, comes from volume. Pricing, we tend to move prices when we have raw material pressure in certain segments, but it's not a feature of our overall growth in any of our markets, although it's there every year in the low-single digits percent. In terms of the markets in North America for us, we see a lot of demand for our selective herbicide and corn rootworm resistants. We expect demand in the first quarter to be strong in that area, and we have been producing materials to meet that demand. So for us, the chain is adequately stocked. We expect to continue to take share and to grow into acres that we've not been in before. So rather positive in those areas for us.
Operator: And your last question comes from the line of Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn - Longbow Research LLC: Just a couple of things, if I could -- if I may. Can you talk a little bit about the sort of a little bit more detail on the impact of Epax in the quarter, both on top line and, more importantly, on profits in nutritional health business?
Pierre R. Brondeau: Sure. If you look at our Health and Nutrition segment, we are looking today at a mid-teens percent increase for the first quarter.
Mark A. Douglas: So, Dmitry, is your question in Q4 or looking forward?
Dmitry Silversteyn - Longbow Research LLC: My question was in Q4, so I can have something that I can start.
Pierre R. Brondeau: Oh, in Q4. I'm sorry, in Q4 -- I thought you were talking our forecast for Q1.
Mark A. Douglas: It was de minimis, Dmitry. I mean...
Pierre R. Brondeau: In Q4, there was nothing. Basically, with the delay of the Seals Sands plant, there was no Epax contribution, maybe slightly negative, but it was a non-event. That's mostly the differential between the 13% EBIT growth and the -- versus the forecast of 25% we had.
Dmitry Silversteyn - Longbow Research LLC: Okay. Okay. That's helpful. And then when you talk about the -- in the Health and Nutrition again, Mark, it's in the excipients and pharmaceuticals sort of getting back to normal, can you -- well, first of all, can you let us or remind us what went off the rail when they got away from being normal and sort of what had got it back to normal? And what could we look for as an impact on the top line as these markets start to get back [ph] to what they used to.
Pierre R. Brondeau: Yes, if you -- the normal and abnormal is if you look at last year, quarter-after-quarter, on the pharmaceutical, we started the first quarter with an enormous double-digit growth, much above the expectation, a pretty solid second quarter, quite an abrupt slowdown in the third quarter, I guess, because inventory must have been pretty full. And then getting back to normal, and I think Mike had a pretty solid month of December, so back end of the quarter was pretty strong. For us, the pharmaceutical market in the segment where we are playing, what would be, Mike, the average growth rate you would expect averaged over a year?
Michael P. Smith: It's typically in the 4% to 5% range over the course of the year. And as Pierre indicated, it was a bit higher than that in the beginning of the year. The third quarter was a bit of an aberration. And in the fourth quarter, we were pretty much right on that typical growth pattern. And as we look at the first quarter of 2014, we seem to be pretty much right back on that track.
Dmitry Silversteyn - Longbow Research LLC: Got you. So this was a short-term inventory dislocation that seems to have worked itself out?
Pierre R. Brondeau: It looks like it.
Michael P. Smith: That's correct.
Alisha Bellezza: All right. Thank you, everyone, for joining us today. That's all the time that we have for the call. I'll be available after the call for additional questions that you may have. Have a great day.
Operator: Thank you. This concludes the FMC Corp. Fourth Quarter 2013 Earnings Release Conference Call.